Operator: Good morning, and welcome to SouthState's Fourth Quarter 2024 Earnings Conference Call. All participants are in a listen only mode. After the speakers remarks, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Will Matthews, SouthState's Chief Financial Officer. Thank you. Please go ahead.
William Matthews: Good morning, and welcome to SouthState’s fourth quarter 2024 earnings call. This is Will Matthews and I'm here with John Corbett, Steve Young, and Jeremy Lucas. As always, John and I will make some brief remarks to highlight a few items of interest and then move into questions. Our comments will reference the earnings release and investor presentation, which you can find on our website under the Investor Relations tab. Before we begin our remarks, I want to remind you that comments we make may include forward-looking statements within the meaning of the federal securities laws and regulations. Any such forward-looking statements we may make are subject to the Safe Harbor rules. Please review the forward-looking disclaimer and safe harbor language in the press release and presentation for more information about our forward-looking statements and risks and uncertainties which may affect us. Now I'll turn the call over to John Corbett, our CEO.
John Corbett: Thank you, Will. Good morning, everybody. Thanks for joining us for SouthState's fourth quarter results. For the quarter, we clearly felt the effects of the Federal Reserve's first rate cut in September. In October, we started to see deposit growth across all our regions and the growth occurred even as we were cutting deposit rates at the same time. Now, some of the growth is seasonal and it's amplified by the normal pickup in municipal deposits during the tax collection cycle. So deposits normally get a little inflated in the fourth quarter anyway. Steve used some of the excess liquidity and he paid down our brokered CDs. But if you back out that decline in brokered CDs, customer deposits actually grew by 9% on an annualized basis. So it's nice to feel like we've reached the end of the tightening cycle. Liquidity is improving and deposit pricing is becoming more rational. That improving backdrop led to a 9% pickup in PP&R for the quarter, led by a 6% increase in total revenue. For the year as a whole, I feel like our regional presidents did a great job managing the inverted yield curve. They were able to generate moderate mid-single-digit growth, and they did it with an eye on maintaining our net interest margin. Earlier this month, we announced a sale leaseback transaction on approximately 170 branches. We've looked at this type of transaction several times over the years and felt like the stars align now. We're able to harvest approximately $225 million of off-balance sheet capital, and the cost of capital is very attractive compared to the other sources of capital. We now have the option to convert this extra capital into future revenue growth. And finally, our biggest development was the regulatory approval of Independent financial in December and the subsequent closing on January 1. When we announced the acquisition in May, we modeled a closing at the end of the first quarter so things progressed a little faster than planned. We've got the conversion scheduled for Memorial Day, so we should have a relatively clean fourth quarter after cost saves. Our teams have spent a lot of time together over the last few months, and I can sense both their excitement and their eagerness to finish the integration and keep building the company and serving our clients. Our strategy has been to build the company in the best geographies in the country with the best scale and the best business model. And the Independent franchise fits that strategy like a glove. The Census Bureau released their latest report in December. And not surprising, Florida, Texas, and the Carolinas continue to lead the nation for growth. Will, why don't you go ahead and walk us through the moving parts in the balance sheet and the income statement.
William Matthews: Thank you, John. As you said, the fourth quarter was a good end to the year in several respects. High level, $24 million in revenue growth versus $7 million in expense growth made for a solid quarter of operating leverage. Balance sheet growth was in line with our mid-single digit guidance, with loans up 4.2% annualized and deposits up 4.5% annualized, or over 9% excluding brokered, as John noted. For the year, loans grew 5% and deposits grew 3%. On the income statement, a 15 basis point reduction in our cost of total deposits helped drive an 8 basis point improvement in our NIM to 3.48%. Net interest income grew by $18 million over Q3 on the same day count. Non-interest income of $80 million was up almost $6 million from the third quarter on somewhat broad-based improvement, led by correspondent, which was up $3.7 million with flat variation margin expense. Mortgage income was up $1.6 million, with wealth up $800,000. And I'll note that wealth had a record year, with its $45.5 million in revenue up 15% over the prior year. Deposit service charge income was also up $1.1 million. Non-interest expenses were up $7 million in the quarter to $250.7 million, which was at the high end of our guidance. The largest increase was in commission expense, which was up over $3 million due to higher performance in commission-based businesses. Even with the growth in expenses, our efficiency ratio improved quarter-over-quarter by 140 basis points to 54.4%. On credit and credit expense, we had $5 million in net charge-offs for the quarter, or 6 basis points annualized, which brought our full year net charge-offs to $18 million, also 6 basis points. Our fourth quarter provision expense was $6 million, leaving reserve levels flat. The ending total allowance to loans was healthy at over 1.5%. Our 30 to 89 past dues were 22 basis points, which is down $14 million from Q3 and also down from year-end 2023's 24 basis points. NPAs ended the year at 63 basis points, up 6 basis points from year-end 2023 levels. I'll note that approximately 23% of our non-performing loans are SBA loans with a 75% guarantee and 46% of our non-performing loans are current on payments. Substandard loans were also up. We continue to view these as transitional substandard loans for the most part, with downgrades primarily due to interest rates rather than as indicative of expected losses. As to capital, we ended the year with healthy capital levels with CET1 at 12.6%. Our Q4 and full year ROAA of 1.27% and 1.21% respectively provided us with a healthy capital formation rate. Operator, we will now move to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Catherine Mealor from KBW. Please go ahead. Your line is open.
Catherine Mealor: Thanks. Good morning.
John Corbett: Hey, Catherine.
Catherine Mealor: Really nice to see the higher NII this quarter and NIM expansion. I wanted to see if you could just update us on your thoughts on the margin moving forward, now that especially we've got the deal closed and what you're thinking about. Maybe two updates, kind of where the margin is with updated thoughts on marks? And then also with kind of taking a couple of cuts out of the Fed's projection versus the last time we spoke, maybe what that does to the margin projection over the course of the year. Thanks.
Stephen Young: Sure, Catherine. This is Steve. And yes, thanks for recognizing the NIM expansion. We were really happy about that this quarter. 8 basis points, the margin was up to 3.48%, which is higher than our guide of 4 basis points to 5 basis points. And really, as John mentioned, a lot of that was the deposit cost work that the regional presidents did and really did a really nice job of bringing that together. Yes, so now that we closed Independent on 1/1, probably just need to update you on the NIM guidance for 2025 and kind of the moving parts and assumptions. Kind of the bottom line, not much has changed other than our closing date, but I think maybe walking you through the parts and pieces hopefully will help you. So, as we think about the major assumptions for 2025 now that Independent has closed on 1/1, there's the average earning assets is one. Second is our rate forecast. The third is how the SouthState legacy fixed rate loan reprices. And then the fourth is just around the merger marks as you mentioned. So, as we think about the expected average earning assets for the full year, we expect about $59 billion. That's based on a mid-single-digit loan growth rate for the year. We are assuming that we start the year somewhere around $58 billion, maybe a little less, and then ending the year a little over $60 billion. Second is our rate forecast. So we have no rate cuts in this guidance. We're holding rates flat from the 12/31/24 yield curve. And then the third part, which we've talked about many times, is just our legacy loan repricing book. We have approximately $1 billion a quarter that's repricing from the high fours into the high sixes or early sevens. That's about a 200 basis point pickup. And that should increase the margin as time goes on about 3 basis points. So if you run that math, it's $20 million over that earning assets. And then the fourth one, the last one, is what you mentioned, the merger marks. So our team is working to finalize the merger marks by March 31st. Just kind of anecdotally from the announcement date, the three-year treasury, which is really the approximate average life of the Independent financial loans, that three-year treasury fell by about 34 basis points. We originally modeled around a 7.5% discount rate. So we would expect, assuming spreads don't change a whole lot, something less in that 30 to 35 basis point range, something like that, depending on, as you know, many moving parts. So we'll have a little bit more capital at day one and a little less earnings absent doing anything else. So based on all these assumptions we'd expect NIM to be between 3.60% and 3.70% in the first quarter and then we would exit the fourth quarter of this year because of the legacy loan repricing between 3.70% and 3.80%. Having said all that, as I mentioned before, we're likely to have some excess capital from less day one interest marks on Independent, as well as some capital from our previously announced sale lease back transaction that will hopefully get done at the end of the first quarter. So we would expect we would take some of that excess capital and deploy it at a potential securities restructure at the end of the first quarter. Our expectation would be we would offset the additional lease expense of around $30 million to $35 million annually. This would equate to an additional 5 basis point margin expansion starting in the second quarter. So in the summary of all of that, we would add 5 basis points to the second quarter to fourth quarter margin in 2025. And we would start at 3.60% to 3.70%. In the first quarter exit at 3.75% to 3.80% -- excuse me, 3.75% to 3.85%. As well as it gives us additional capital to deploy in the future and the future revenue growth versus what we originally modeled. And then lastly, as I think about 2026 and an upwardly sloping yield curve, we'd expect NIM expansion to continue to do it as the continued repricing of the legacy SouthState back book of 3 basis points per quarter. So all of this is sort of in line, but there's a lot of moving parts and hopefully that helps you model as you think throughout the year.
John Corbett: Yes. And Catherine, let me maybe jump into this as well. Just say that that potential securities portfolio restructuring is just potential at this point. We've made no decisions, and we'll continue to evaluate that through the quarter, maybe see how the marks shape up as we get toward the end of the quarter, and then make a decision at that point. So nothing has been decided in that regard thus far.
Catherine Mealor: That makes sense. And so in your exit margin, as we talked about last quarter, was to 3.75% to 3.85%. So it almost -- if I can kind of simplify it, it almost feels like a little bit of a better margin this quarter. So maybe you're coming in kind of with a better core base and then kind of the impact of taking few cuts out of the forecast is really offset by maybe that better base plus what you can do on the bond restructure to kind of to leave you at the same level exiting 2025. Is that a fair way to…
John Corbett: Yes, I think a fair way to say it. And I think we talked about the second and third quarter was Independent. We thought would add 10 to 15 basis points of margin expansion to us. And I think with the rates down a little bit in that curve, probably adds 10, not 15. And then, of course, that additional gives us a little extra capital day one, so we can decide how to deploy that.
Stephen Young: Yes, and even with rates flat, we would expect to get a little bit of continued pick up on cost of deposits just as CDs mature and things like that from where we start off in the first quarter, that would help to even stay flat.
Catherine Mealor: Okay. And I know you've also said in the past that each rate cut adds about 3 to 5 bps to your margin. Is that -- as you think about the combined company, is that still a fair way to think about it, given this guidance has no cuts?
John Corbett: Sure. Yes, I know this is interesting as we think through fair value accounting for a second. So the way I would think about it is, absent -- if we continue to keep the normalized yield curve, meaning upward sloping, we would expect on the legacy loan repricing to be 3 basis points per quarter accretive. And then from there, what would move it from the legacy Independent book would be if we hit rate cuts, we would get another 1 to 2 basis points. So that would be 4 to 5 basis points. If they cut rates 2025 because they're a bit more liability sensitive as a company. And conversely, if for some reason they raise rates from here we would still get the 3 basis points increase in the margin from our back book, but we'd probably subtract a basis point or 2 from the legacy Independent combined basis. So it'd still be accretive, but it wouldn't be as accretive. So it really makes our -- this transaction, as we talked about a long time ago, it really makes our balance sheet much more neutral and kind of puts our -- the thing that will continue to drive NIM will be the loan back book repricing from the legacy SouthState. And then if we have rate cuts, we'll probably get some more from that. We'll get a little bit better NIM from the Independent deposit franchise.
Catherine Mealor: Okay. All very helpful. Thank you. And congrats on closing the deal early.
John Corbett: Thank you.
Operator: Our next question comes from Stephen Scouten from Piper Sandler. Please go ahead. Your line is open.
Stephen Scouten: Yes, thanks. Appreciate it. I wanted to see if there was any kind of additional thoughts around the sale lease back. I know, John, you said kind of things aligned here with the math and just the thought process, but can you walk us through kind of why you felt like that was the right decision now and if let's say you weren't to do a security restructure for whatever reason what the other priorities for the excess capital might be?
John Corbett: Yes, sure. Stephen, good morning. Yes so, we've kind of done a lot of branch repositioning over the last decade, and we're very comfortable with the branch network that we've got today. So entering into this long-term sale lease back kind of is a nod to the fact that we plan on being in these branches for quite some time. So really it's really about harvesting capital, off balance sheet capital that we're not getting any credit for. And when we ran the numbers, the cost of capital was more attractive than other sources of capital. So really it's more of a capital management exercise that will give us flexibility going forward. And the other thing is, as we've looked at it, one of the things you want to look at is the spread of the cap rate versus the risk-free rate. And it was pretty narrow. So we felt like this was a good opportunity to do it.
Stephen Scouten: Got it. Okay. And does the math around potential securities restructure, I mean, is that slightly more advantageous if rates remain high or what's kind of the puts and takes for the maybe the best mathematical environment for you to get something done if that becomes the past?
Stephen Young: Yes, Stephen, this is Steve. I think probably we're -- probably the most important is landing where our capital marks are going to be. Based on that, we're going to decide if we do a bond restructure or securities restructure and to what extent. So I think for us, there's a lot of moving parts with the Independent transaction. We have the sale lease back. But by the end of the first quarter, we're going to know all those answers. And by the call in April, we're going to be able to tell you all those things. But I guess the way I would describe it is, this is an attractive -- the sale leaseback is an attractive ability to get capital. And from here, we can deploy it in lots of different ways, whether it's a securities restructure, which certainly is one piece of it, certainly could be in lots of other places as well. So we're just going to make those decisions as we go through.
Stephen Young: And Stephen, I would add, if we were to consider a portfolio restructure to your question, there are different philosophies around that you can take your bonds that are deepest underwater, they're [indiscernible] those or you can take ones that are more moderate, but have you have a better earn back profile. And so we'll think about all those things. I mean, we haven't finalized our marks yet, as we've said a couple of times, and that process is ongoing, We hope to have a better idea by the end of the first quarter. It probably won't be final, final, but be a lot closer to final. And right now, seeing where we sit, we think our capital position is going to be better than the 10.4% CET1 we announced at the time of the merger announcement. I mean, it could be somewhere -- should be north of that, maybe closer to the 11% range at closing. So again, a little more flexibility and optionality through that capital base than we probably modeled nine months ago.
John Corbett: Yes, and the last thing I'd say is that we love our -- as we forecasted and what I just told you about margin and so on. I mean, we really like our revenue profile and our PP&R profile. So this is just on top of that. We have extra capital to do whatever else we need to do. I think it's a nice lever to have.
Stephen Scouten: Got it, got it. And just last thing for me, I know the ink's barely dry here on IBTX closing, but everybody is getting kind of bulled up on M&A and if we do see a more active environment where more banks try to, let's call it, like hit this 18-24 month window that we think we have, would you guys think you'd be prepared to do another deal right now if it came to pass if the right deal hit your desk or do you really want to just focus on the integration, the build out within the Texas markets and let that play out first going forward.
John Corbett: A lot of our talk about our strategy is finding the best scale in the banking business model. And today we feel like, Stephen, the best scale is somewhere in that $60 billion to $80 billion of assets. So for 2025, our focus is entirely on integrating IBTX and getting that team productive and growing and feeling good about the partnership. And then the second thing in 2025 is just going to be learning what the new regulations are under the Trump administration and getting a better understanding of what the hurdles at $100 billion would be. So until we know what those hurdles might be, we think the $60 billion to $80 billion in size is the best place to be, but we're going to learn more as the year progresses.
Stephen Scouten: Yes, it makes perfect sense. Great. Congrats on another great year.
Operator: Our next question comes from Russell Gunther from Stephens. Please go ahead. Your line is open.
Russell Gunther: Hey, good morning, guys. I wanted to start back on the legacy SouthState NIM, if we could, the fixed repricing opportunity is strong and well understood. But could you guys spend a minute in terms of how you're thinking about the other side of the balance sheet, deposit cost trends, and then just any kind of CD maturity and rate repricing opportunities embedded in the guide.
John Corbett: Sure. No, it's a good question, Russell. As we think about the pro forma company, and we think about the first quarter deposit cost, I would kind of model around 2% would be a good way to think about it as a pro forma company. After -- remember that in the fourth quarter the last rate cut came in the mid end December, so we didn't really get that into our deposit costs until January. So if you took us as a pro forma company and be a little higher if you looked at the fourth quarter, but if you look at the first quarter, we'd be around 2%. And then as it relates to the CD repricing opportunity, the other certainly is one there. But if you kind of looked at our beta and what we told the street that our beta combined would be. Our peak deposit pricing as a combined company was the third quarter around 2.29%, 2.3%. And so there's been 100 basis points of cuts. If we end up about 2%, that would be about a 30% beta. We were expecting kind of 20% on a standalone, 40% IBTX in 2025, I think, on a combined. So we're doing a little bit better than we originally expected, originally modeled, but I would kind of use 2% as a guide. And maybe it drifts down a base point or two overtime, but I wouldn't expect a huge change to that.
Russell Gunther: Okay, great. No, I appreciate that. Thank you. And then just switching gears, if you guys could give us a sense for how you'd expect the correspondent banking business to trend over the course of the year and any update to your kind of pro forma be to average asset guide.
John Corbett: Sure. Yes, thanks, Russell. On page 25 we look at the non-interest income to average assets and to Will's point earlier, the non-interest income increased really nicely $5.7 million from the third quarter, it was 69 basis points of average assets versus our guide of 65 basis points. So it was a really great quarter. And really most of that is related to the correspondent bank increased about $3.5 million and mainly most of it was due to the fixed income sales of which, most of that was due to our new SBA securitization team we recruited earlier in the year in Houston. So they had a great quarter and it was glad to see that doing well. There was other increases in mortgage wealth. Wealth had a really nice increase, really great year. But with the closing of IBTX, I don't think our guidance is really changing here. We mentioned kind of guiding 50 basis points to 55 basis points of non-interest income, and we thought we'd be on the higher end of that range. That's kind of where I think we were continuing to plan. And then I guess if what would improve that? So if we're closer to 55 basis points, what would improve that would be, if the Fed all of a sudden started cutting rates again, I think that would be attractive to some of our capital markets businesses. And so you'd probably start seeing that trend towards 60 basis points. So that's kind of the way I'd frame it up. We're kind of -- if you look at the improvement in the correspondent bank this year, I think here we were around $70 million of revenue, and the fourth quarter annualized, I think we're around $80 million revenue. I think that's probably a good starting point. And then if we get rate cuts from here, maybe you see it go higher towards the 2023 number of about $90 million, something like that. That's our expectation.
Russell Gunther: Okay. Got it. Very good. All right, guys. That's it for me. Thanks for taking my question.
John Corbett: Thank you.
Operator: Our next question comes from Michael Rose from Raymond James. Please go ahead. Your line is open.
Michael Rose: Hey, good morning guys. Thanks for taking my questions. Hey, just wanted to get a sense on the lending environment right now, both in your core markets and then in Texas. And just what we could expect as we move through the year, just looking at pipelines and it looks like the environment is a little bit more favorable, but I think most companies that have kind of reported are talking more about a back half acceleration in loan growth. Just wanted to see what you guys are seeing in your markets and on both sides of the table. Thanks.
John Corbett: Yes. Michael, good morning. It's John. Earlier in 2024, we guided to a mid-single digit loan growth and that's really where we landed. We had about 5% loan growth for the year. So in line with the guidance. In the fourth quarter loan production was up about 17%. We did about $1.6 billion in originations in the third quarter, $1.9 billion in the fourth quarter. Some of that was seasonal lending that we see this time of year for, we do a lot of business with storm repair companies after the hurricanes. Generally on the customer sentiment front, I'd say that clients are still adjusting to higher interest rates in their budgets, both consumers and businesses. Along with other forms of inflation, it just makes things tighter in people's budgets. So some folks are waiting to see if rates come down and they may not come down. So I think there's a lot of optimism from our clients about the deregulatory pro-growth agenda here. But sometimes there's a lag effect from that optimism until you see it in the pipeline. So, as we head into 2025, I think continuing with that mid-single digit growth is appropriate. Might be a little bit slower to begin with and pick up later. You asked about the pipelines of IBTX in SouthState. SouthState, we had good closings in the fourth quarter and our pipelines are a little softer as we start the first quarter, down about 10%. But I talked with Dan Brooks yesterday in Texas and the pipelines in Texas and Colorado have actually picked up some, so they're feeling good about their pipeline growth headed into the year.
Michael Rose: Great. And then maybe one for Steve, any updated expectations as it relates to expenses to the average assets or assets on a pro forma basis? Thanks.
William Matthews: Yes. Hey, Michael, it's Will, I'll take that one. First off, I guess a couple assumptions to keep in mind. We're currently assuming that the sale lease back closes March 1, which would give you 10 months of the higher lease expense net of the foregone depreciation. So that's roughly $30 million or so in NIE to add to the year for that 10 month period. We're also assuming that we achieve approximately 50% of the cost saves in 2025. So that's $45 million or so. Because our conversion date, even though we closed earlier, conversion date remains the end of May, more all day weekend. And as John noted earlier, you'll have some folks stick around through post conversion and then you really have more of a clean quarter in Q4. And we still have to finalize, of course, the marks, as Steve noted. And that includes the CDI mark, which is amortized on an accelerated basis. So depending on how that shapes up, it could have an impact as well. So with all that high level, I would say for the earlier part of the year, the first quarter or two, a range of $355 million to $365 million in NIE per quarter. And then as we exit the year in the last quarter, the range would be more in the $340 million to $350 million, and that would be after any sort of inflationary pickup in 2025 over 2024 levels, the mid-year raises, things like that.
Michael Rose: Okay, great. And then maybe just finally for me, I know brokered deposits were down both for you and at IBTX this quarter. Any more to kind of do there? We all -- you kind of feel like you're in a good spot at this point from a go-forward basis. Thanks.
Stephen Young: Yes, Michael, this is Steve. I guess, as you think about what happened this past quarter for both us and Independent, we had really good customer deposit growth in the fourth quarter. I think ex-brokered CDs, I think our deposit growth was around 9%. So I think we use brokered as a bit of a lever depending on the growth in customer deposits. So our expectation is that customer deposits are kind of mid-single digit growth next year and we'll use kind of brokered as sort of a lever in order to fund the loan growth. So that's kind of how we're thinking about it.
Michael Rose: All right, great. Thanks for taking my questions.
John Corbett: Thank you.
Operator: Our next question comes from Samuel Varga from UBS. Please go ahead. Your line is open.
Samuel Varga: Hey, good morning. I wanted to start off actually in the credit front with the deal closed. I wanted to see if you could give us some data thoughts around the sort of combined loss rate, just given how impressive 2024 was.
John Corbett: Maybe I can start and Will you can chime in here, but client payment performance has been very good throughout 2024. I mean, our past dues, Will mentioned are only 22 basis points at the end of the quarter. Charge-offs, we're in the 6 basis point range. So our clients are doing really, really well. We have seen a tick up in classified assets, our classified loans, and it's really a floating rate issue and a debt service coverage issue. It's not really a payment performance or client performance issue. So as I talked to our credit team, really in our CRE book, they really don't see any loss visibility there. I mean, substandard loans have a 56% loan to value. So there's lots of equity and great institutional sponsors. Most of the classifieds we're seeing are CRE loans that are projects and stabilization. And I'll give you an example. Will talked about some of these being substandard loans in transition. 64% of our commercial real estate loans have a floating rate and that may have a slightly negative debt service coverage, but if you use today's permanent interest rate in the permanent market, they would have a positive debt service covered. So that's part of this transitionary type thing that we're going through here. So when the loans mature, the property sell, and we're seeing plenty of liquidity in the market, particularly multifamily, those loans mature and they're gone. So anyway, I think as you head into 2025, to the extent we have charge-offs and losses, it's really -- we don't see it in the CRE side. It'll probably be in the C&I area, either in the middle market space because of higher interest rates or more likely in the SBA or small business area where they are still feeling the effects of higher interest rates, labor costs and general inflation. So I think that's true both -- for both the Independent book and for the SouthState book as well.
William Matthews: Yes. And Sam, I'll just add, if you look at the fourth quarter for Independent, they had pretty flat production, similar to what they had in the third quarter, but they had a little higher level of pay downs and many of those were in some of their criticized credits. So the kind of pay downs you like to see occur. In terms of loss rate, 6 basis points is a great year. And I think we would, while we would love to operate at that level, that's probably not sustainable at that very low level going forward. But also remind you too, that on the combined basis, when we do the purchase county marks, of course we'll have the [PC[ (ph), non-PCD split. We'll have the credit mark on the PCD that goes into the allowance, but they also have a credit mark on non-PCD that is booked plus the day one provision or the double count as we affectionately call it. So a lot of loss absorption capacity created through that exercise as well.
Michael Rose: Great. Thanks for the color to both of you. And then John, perhaps just on the revenue synergy side, I understand that when you do the DMS, obviously you're not assuming anything there, but if you could just give us some updated thoughts especially in the fee income side around perhaps cross-sell opportunities or enhancing any of the products that you might have and how that might impact 2025 and potentially beyond?
John Corbett: Yeah, Samuel, it's John. We want to keep the Independent bank, bankers doing what they've been doing. They've been doing a great job. They've been growing a great bank and they've been doing it with quality clients and have one of the best asset quality histories in the country. So we really want them to continue doing what they're doing and comfortable doing. Over time, we see opportunities there. We see opportunities to layer in a treasury management platform that could be attractive to more C&I clients in those markets. And they're great markets. I think Dan Brooks told me yesterday, Texas had the number one job creation in the country last year, which occurs frequently. So we think there's tremendous C&I opportunities to layer on top of the great CRE work that they've done historically.
Stephen Young: Yes, and then this is Steve. I guess this, kind of the more immediate pieces and parts would be our capital markets product, particularly our interest rate swap. I know, in January, I think we've already done a transaction or two there from our capital markets group just to help facilitate some lending at IBTX. I think the mortgage platform, the retail platform. And then probably just as we think about the wealth platform, private capital management, which is the Independent wealth advisors, I think that continues to grow and hopefully get some lift from some of the partnerships and platforms that we can provide. But I'd say probably in the immediate sense, it would be in the capital market space. And then over time, it's going to be, as John mentioned, treasury, mortgage, wealth, retail.
Michael Rose: Got it. Thank you for taking my questions.
Operator: Our next question comes from Gary Tenner from D.A. Davidson. Please go ahead. Your line is open.
Gary Tenner: Thanks. Good morning, everybody. I wanted to ask just about the IBTX loan book. It just looks like based on what you had in your deck that their loans declined by something approaching $1 billion since announcement. I don't recall there being any kind of targeted runoff portfolios there, but can you kind of give us a sense of maybe where that's come from and if there's anything behind the scenes driving a particular part of that runoff.
John Corbett: Yes. Hey Gary, it's John. Sure. So if you'll recall back in our prior calls over the summer and the spring, we talked about the mortgage warehouse business and that was a business that we were going to wind down and exit. So that is the bulk of that change. And then in the fourth quarter, the loan production at IBTX was roughly the same as the third quarter, but they did have some elevated paydowns. They had about $158 million of commercial real estate sales of properties. There was a collection of apartment properties in Colorado, $95 million that refinanced into the permanent market with Fannie Mae, and they were fortunate to kind of exit $75 million of watch list credits. So between the mortgage warehouse exit that we had telegraphed over the summer and some of these pay downs in the fourth quarter, that's the difference.
Stephen Young: Yes. And just to add, on the mortgage warehouse, we modeled that in our transaction. So that's why our NIM guidance really isn't changing. But we modeled that upfront. We just didn't certainly talk about it in May, but that was certainly modeled.
Gary Tenner: Okay, I appreciate the reminder in the mortgage warehouse business that it's sold by mine. And then as it relates to the sale lease back and a potential trade, is it fair to say that -- well, if I interpreted your comments correctly, that at a minimum anything you do would serve to offset the incremental lease costs? That should be kind of the minimum threshold of activity?
Stephen Young : Well, I would say the minimum, Gary, would be that we don't do anything at all. Like I said before, we have not made any firm decisions. That would be a reasonable model to use, though, if we did something like that, where -- if you said that the higher non-interest expense from the sale leaseback net of the interest on the cash that we receive, that you could, one, reasonable approach would be to do a smaller restructure to at least neutralize that. But again, nothing's been decided at this point and we'll wait and determine after we've done all the marks and everything.
Stephen Young: Yes, and if we -- to the point, we wouldn't do anything until later in the first quarter so it wouldn't go into effect. And when we get on the call in the second quarter, you'll know exactly what we did.
Gary Tenner: All right. Thanks, guys.
John Corbett: Thank you, Gary.
Operator: [Operator Instructions] Our next question comes from Ben Gerlinger from Citi. Please go ahead, your line is open.
Ben Gerlinger: Hey, good morning guys.
John Corbett: Good morning.
Ben Gerlinger: So I know you said in terms of a relative size, the sweet spot is 60 to 80 as the rules currently stand. And I totally agree. But let's say the rules don't change here. We're playing with the status quo. Is there a deal size that would be too small for you guys to entertain? Like would be $5 billion or something not worth it? I'm just trying to think from a philosophical question and something came up, the numbers were, but it's just not, the juice isn't worth the squeeze.
John Corbett: No, I think if there was the right opportunity in the right market and a $5 billion opportunity came along, we would definitely look at that. So you think about the markets that we're in, if they're in these really, really attractive markets, there's a limited inventory. And if we could deepen our market share in one of these great markets, we would consider that.
Ben Gerlinger: Got you. Okay, that's helpful. And then I know you gave the expense numbers kind of for this year with the double systems conversion or run rate for the fourth quarter. When you think about 2026 or possibly 2027. Obviously, you're not going to give any numbers. But when you think just behind the scenes, are there any other material investment upgrades that need to be made over the next 18, 24, or beyond type months? Or I'm just trying to think of like, you are a bigger bank now and the cost of doing business, although you will make more money, how do you think about just investment in the back office?
William Matthews: Yes, I'll start Ben and maybe John and Steve can elaborate. I'd say we have made a lot of these significant investments in that regard over the period from the MOE in 2020, really up through last year. And we've been sort of finishing the drill, if you will, more in that regard. I'll also remind you that our rate of inflation on our tech spend, our digital spend, continues to exceed the rate of inflation for our other expenses and probably will. But hopefully along with that, we get some degree of efficiency through automation and things like that. But in terms of projects, Steve runs our strategic planning efforts. Steve, how would you?
Stephen Young: Yes, so we just got done this week on bringing our strategic plan to the board and getting that approved. And the way I describe it is, there are clearly expenses and other things that are, as you cross over 50 and things that we've been working on for a long time. There'll be incremental expense, but that's all included in Will's guide. And so, there's nothing extraordinary that I would say that we have not talked about already. As you think about 2026 and think about the kind of the pluses and minuses to 2025. Of course, you're going to get inflation pick up in 2026, whatever the inflationary expenses are, 3%. But you're also going to get, as it relates to the full year 2025, the $45 million or so in cost. We modeled $90 million, half of it this year, half of it next year. And so those should, for the most part, offset each other in 2026.
Ben Gerlinger: Got you. Okay, that's really helpful. Thank you.
Operator: Our last question will come from David Bishop from Hovde Group. Please go ahead. Your line is open.
David Bishop: Yes. Good morning, gentlemen. Just curious, John, maybe as it relates to the legacy IBTX deposit book. Just curious how you're going to approach that from a repricing perspective, maybe sort of leaving rates alone for the near term and then get more and be more aggressive as you get farther away from the close date. Just maybe curious how you're approaching repricing there?
Stephen Young: Yes. David, this is Steve. The way we approach it at SouthState is, we'll be how we approach it at Independent. We have local market leaders that run both loan and deposit pricing for and we set goals, kind of I'll call it freedom within a framework from the company level, and then they decide how to push that deposit pricing out. So I wouldn't say that we're going to push a button at corporate or anything else to change the pricing at Independent. The way I would describe it is, hopefully create a little more alignment on the ownership of both loan and deposit pricing over time to the various presidents in the markets. So I wouldn't expect there to be a huge change other than the way the presidents will be [indiscernible] will be just like us as it relates to PP&R less charge-offs.
David Bishop: Got it. And then one housekeeping question, obviously the income statement has gotten a little bit bigger here, or will be in the first quarter. Any change to the effective tax rate as a result of that? Thanks.
John Corbett: No, we will -- there's no big permanent items that will be added this year. So where we're running right now is probably a good place to model.
David Bishop: Great. Appreciate the color.
John Corbett: Thank you.
Operator: We have no further questions. I would like to turn the call back over to John Corbett for closing remarks.
John Corbett: All right. Thanks a lot and thanks for joining us this morning. And given the January 1 close at Independent, I just want to extend a special welcome to all of our partners and team members from Independent. We know the investment community here, you're jumping around and covering a lot of companies. So thanks for calling in. If you have any follow-up questions, don't hesitate to give us a ring. Have a great day. Thanks.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.